Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Carnival Corporation Third Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Tuesday, September 24, 2013. I would now like to turn the conference over to Howard Frank, Vice Chairman and COO. Please go ahead, sir.
Howard S. Frank: Thank you, Len. And good morning, everyone. This is Howard Frank. And with me today is Arnold Donald, our President and Chief Executive Officer; Micky Arison, our Chairman; and David Bernstein, our Chief Financial Officer; and Beth Roberts, our Vice President of Investor Relations. We are all gathered in London, actually, for the -- today, we announce the naming of a new P&O ship, the Britannia. And there was a tremendous amount of press there and we got some great coverage. So that was a quite a nice morning for us. And later on this week, we start our business reviews, starting with the P&O brand and Cunard in the U.K. So we'll follow the usual procedures, and David Bernstein will give you some color on the third quarter. David?
David Bernstein: Thank you, Howard. Before I begin, please note that some of our remarks on this conference call will be forward-looking. I will refer you to the cautionary statements in today's press release. Also, all of my references to revenue and cost metrics will be in local currencies, unless otherwise noted, as this is the more useful measure of business trends. Our non-GAAP EPS for the third quarter was $1.38. The third quarter came in $0.09 above the midpoint of our June guidance, driven by lower net cruise costs, excluding fuel. I will speak to the full year cost later, but in summary, we expect $0.05 of the $0.09 to flow through favorably as cost savings for the year; the remaining $0.04, from the timing of expenses between the third and fourth quarter, primarily for advertising, as a number of brands decided to delay some of their advertising spend from the summer months to the fall season. Our GAAP EPS for the third quarter was $1.20, which is $0.18 below our non-GAAP EPS. The GAAP EPS included $203 million or $0.26 per share of impairment charges, partially offset by $64 million or $0.08 per share of unrealized gains for our fuel derivatives program as the price of Brent increased this quarter. The impairment charges included $176 million related to 2 smaller Costa ships, 1 of which will leave service this November; as well as $27 million for Ibero's remaining trademarks and other small items. In the earnings release, you will notice that we have further refined our definition of non-GAAP earnings. Non-GAAP earnings now excludes gains and losses on ship sales and related impairments, which are classified in other ship operating expenses on our P&L. In connection with this change, net cruise cost, which is also a non-GAAP measure, will exclude these cruise-related items as well. The excluded items are clearly identified in the non-GAAP financial measure reconciliations of net cruise costs, net income and EPS located towards the back of the earnings release. It should be noted that all of the excluded items are noncash. In addition, you will see that prior-period actuals and previous guidance for non-GAAP measures have been changed to be consistent with the new definition. For example, 2012 non-GAAP EPS for the 9 months ended August 31 increased to $1.80 from $1.75. We believe it is the more meaningful -- it's more meaningful for these items to be excluded from our non-GAAP measures since gains and losses on ship sales, as well as any impairment charges, are not part of our core operating business and therefore are not an indication of our future performance. Now let's look at the third quarter operating results versus the prior year. Our capacity increased 3.4%. The North America brands were up 4%. The European, Australia and Asian brands, known as our EAA brands, were up 2.5%. Our total net revenue yields in the third quarter declined almost 4%, in line with our June guidance. Now let's look at the 2 components of net revenue yields. Net ticket yields declined 4.6%. The North American brands were down 5.4%, primarily driven by promotional discounting at Carnival Cruise Line. Our EAA brands were down 3%, driven by declines in our Northern European brands, partially offset by increases at Costa and P&O Cruises Australia, a pattern similar to last quarter. Net onboard and other yields decreased slightly just under 1%, a trend we had anticipated in our previous guidance. Our EAA brands experienced a slight increase, which was more than offset by declines in the North American brands across most onboard categories. Net cruise costs for the quarter per ALBD, excluding fuel and now excluding the impairments under our new definition, were up 4.6% versus the prior year. This increase was better than we expected in our June guidance, as I previously mentioned. As a result of our ongoing efforts to reduce fuel usage, our consumption per ALBD declined 5% this quarter and saved us $0.04 per share versus the prior year. In summary, the third quarter non-GAAP EPS was $0.15 lower than the prior year, driven by lower net revenue yields and higher cruise costs, without fuel, partially offset by capacity increases, improved fuel consumptions and currency. Now turning to our 2013 outlook. I will skip net revenue yields, as Howard will discuss that shortly. For the full year, net cruise costs, excluding fuel per ALBD, are forecasted to be up 4% versus the prior year. This is at the lower end of our previous guidance range as a result of the cost savings experienced in the third quarter that I expect to flow through to the full year. On a final note, I wanted to share with you preliminary cost guidance for next year, as there are several areas in the business we plan to invest in to improve our return on invested capital. For 2014, we expect net cruise costs, excluding fuel per ALBD, to be up in a range similar to 2013. This increase is driven by more marketing activity; investments in onboard products such as food and entertainment; higher dry-dock costs, including vessel enhancements; and various other costs and inflation, partially offset by our ongoing efforts to reduce costs. Please keep in mind that this is very preliminary. Over the next few weeks, we will be visiting each of the operating companies to review their 2014 annual plans and we'll have a much clearer picture on 2014 costs after those meetings, and we will provide detailed guidance on the December call. At this point, I will turn the call back over to Howard.
Howard S. Frank: Thank you, David. As in our last call, I will comment separately about the continuing progress we've made at Carnival Cruise Lines and Costa Cruises. But first, let me bring you up-to-date on the last 12 weeks of bookings since the end of March. In this discussion, I've taken Carnival Cruise Lines booking information out of the mix, which I will comment on separately. As a reminder, all of the pricing information I will be discussing is using constant currency. Fleet-wide booking volume during the last 12 weeks from the end of June, covering the sale and build of the next 3 quarters, are at the same levels -- about the same levels as last year. These bookings have been at higher prices versus last year, and as I said, this excludes Carnival. For North American brands, booking volumes during this 12-week period are higher year-over-year at lower prices. And for EAA brands, booking volumes are lower at nicely higher prices. We see the EAA booking pattern as an encouraging sign, especially given the continued softness in European economies. The last 6 weeks of the 12-week period, we've seen a nice uptick in booking volumes in North America and EAA, which is also an encouraging sign. For Carnival Cruise Lines, booking volumes and pricing over the last 12 weeks are both lower year-over-year in low-single-digits and double -- and mid-double-digits range, respectively. Carnival booking volumes have also shown recent improvement and, during the last 6 weeks, are running higher year-over-year. As Carnival booking volumes steadily increase, we are expecting their cruise pricing to gradually improve over the longer term. Now I'll move to the cumulative booking status for each of the fourth quarter of 2013 and the first and second quarters of 2014. For the fourth quarter of 2013, on a fleet-wide basis, and this excludes Carnival, cumulative occupancies are lower at the same pricing levels as last year. For North American brands, excluding Carnival again, occupancies are slightly lower at slightly lower prices. Carnival Cruise Lines occupancies for the fourth quarter are lower at lower prices. For EAA brands, occupancies are lower year-over-year at slightly higher prices, reflecting the positive patterns we have experienced during the last 12 weeks. Costa brand occupancies and pricing for the fourth quarter are nicely higher. As we indicated in the press release, on a fleet-wide basis, including Carnival Cruise Lines, we are expecting fleet-wide revenue yields in the fourth quarter to be 3% or 4% lower year-over-year. North American brand revenue yields in the fourth quarter, excluding Carnival, are expected to be down slightly. Carnival Cruise Lines yields in the fourth quarter are expected to be lower in the double-digits range, and fourth quarter EAA pricing revenue yields are expected to be higher year-over-year. Turning now to the fourth -- to the first quarter of 2014. On a fleet-wide basis, pricing on bookings taken to date is higher year-over-year, with lower occupancies. For North American brands, excluding Carnival, pricing is higher on lower occupancies. Carnival Cruise Lines pricing is lower on lower occupancies. For EAA brands, pricing on bookings taken to date is flat year-over-year, at lower occupancies. Second quarter of 2014 bookings taken to date, which is still in the early stages of development. On a fleet-wide basis, excluding Carnival, pricing is slightly higher year-over-year, at lower occupancies. North American brands pricing is slightly higher, at lower occupancies. At this stage, Carnival's pricing is also higher, at lower occupancies. For EAA brands, pricing is slightly higher, at lower occupancies. As to the yield outlook for the first half of 2014, although pricing on bookings taken to date for the first half of 2014 is higher, because we are running behind on occupancies, we are expecting revenue yields will follow the usual pattern of coming down as we close out the first and second quarters. As a result, on a fleet-wide basis, for the first half of the year, we are estimating a low-single-digits decrease in revenue yields in a similar range to the lower yields we experienced in the third and fourth quarters of 2013. This expectation includes the Carnival Cruise Lines yields. North American brand yields in the first half of 2014 are expected to be lower year-over-year, and EAA brand yields are expected to be higher. We are ramping up our -- in the efforts in both North America and Europe this fall and winter and are expecting that revenue yields will turn positive in the second half of the year. Now let me just turn to the Carnival Cruise Lines. The Carnival Cruise Lines brand continues to demonstrate such resilient in the market, maintaining high occupancies albeit at lower prices. The perception and consideration survey to the Carnival brand continue to show improving trends at a faster pace than originally projected, so we are greatly encouraged by these positive signs. Yesterday, Carnival began its fall marketing with a new national and consumer advertising campaign on the back of the announcement of its new Carnival Great Vacation Guarantee program. This is one of the largest fourth quarter national marketing expense for Carnival in recent years and is designed to further accelerate the improvements we are seeing in brand perception and consideration. The increase in Carnival's consumer advertising is also expected to drive more consumers to our travel agent partners. Also as a result of recent travel agent surveys and its travel agent outreach program Carnival Conversations, Carnival has made a number of changes and improvements to its travel agent programs. This includes adding more in-house traveled -- travel in-house call center agents, new bonus commission plans, providing complimentary cabins and a variety of other changes to make it easier for travel agents to book Carnival. Also a new and simplified cabin pricing plan, also to make it easier to book Carnival is expected to be announced shortly. The response to these changes by travel agents has been very positive and we have seen a significant improvement in travel agent bookings with the introduction of these programs. So we again thank the travel agent community for their continuing support of Carnival Cruise Lines during these past year. Carnival will continue to reach out to travel agents to ensure that we maintain a strong partnership with this critically important distribution channel. Although Carnival Cruise Lines' pricing is lower than we would like, with the new national advertising campaign and the increase in marketing spend this fall and winter, we do expect to see a recovery of pricing as we cycle into the second half of 2014. Recently, Carnival got to the strategy of holding firm on pricing even if its ships sale at slightly lower occupancies. We believe this will make Carnival's pricing recovery more achievable as we move through 2014. Now turning to Costa Cruises. As most of you know, the critical phase of the Costa Concordia removal was completed last week and the present plan is to take the ship to the scrapyard next spring. We believe this is a start of a new chapter for Costa, and we expect the company's performance to continue to strengthen over the remainder of this year and throughout 2014. Brand perception surveys for Costa continue to show improvement, particularly in Italy and France, its 2 most important markets. Costa revenue yields show a nice improvement in 2013. And we are forecasting continued revenue yield increases in 2014 for Costa despite what is still a very challenging European economic environment, especially in [indiscernible]. So congratulations to Michael Thamm and the Costa management team for managing through a very, very difficult period. Let me make some concluding comments by saying while 2013 has been a challenging year for Carnival Corporation, there were many positive developments for the company that bode well for our future. We continue to be encouraged by the growth of our business in Asia. Beginning in 2014, we will have 2 fully dedicated Costa ships in the China and Southeast Asian markets, and Princess will have 1 fully dedicated ship in these markets. Princess will also have 2 ships in the Japanese market during the 2014 spring and summer season in Japan. We believe these emerging new markets for Costa and Princess offer significant growth opportunities for our business in the future. In Australia, our P&O Australia, Princess and Carnival brands are the 2 -- are the major year-round operators in Australia. P&O Australia is a market leader, and our combined brands are by far the leading cruise line companies in Australia. We are also pleased to see the turnaround for Costa in Europe, and we expect to see solid revenue growth and improved profitability for Costa in 2014. Our well-established European cruise brands Costa and AIDA in Continental Europe; P&O Cruises and Cunard in the U.K., are great franchises, and we expect the performance of our European companies to improve as the European economies begin to emerge from several years of slow or negative growth. Our European cruise companies are the market leaders in their respective countries and have maintained their presence in these markets during the difficult economic period. We believe this will position them to grow their profits more quickly as these markets emerge from recession. And coming back to the U.S. We do expect the Carnival Cruise Lines brand to begin to see a recovery in the second half of 2014 as we cycle through the events of 2013. Our 2 premium brands, Holland America and Princess, are all expected to have a solid performance in 2014. Our Seabourn brand, although small, is performing extremely well. So to sum it all up, we have a great -- we have great cruise brands all over the world, and we are excited about our future. And with that, I'm going to turn it over to Arnold. Arnold?
Arnold W. Donald: Thank you, Howard. And hello, everyone. I have, I guess, nearly 3 months under my belt with the on-boarding process, so that process is well underway. We've just completed in-depth reviews with each of our leadership teams to look back over the past 5 years in each of our businesses and key corporate departments. I've also visited with our leadership teams in each of their own markets, including Australia; U.K.; Continental Europe; as well as our U.S.-based operations, both on the West Coast and, of course, in Miami. As well, I visited China to see our emerging market opportunity there first hand, and I can say I am very impressed with the commitment, the dedication and hard work that has been accomplished and can affirm that we have solid leadership talent in place. This process of on-boarding has also included spending some time with our travel agent partners to better understand how they see us relative to our peers and how we can support them in their very important role engaging with the media to provide proper context. And we're confident that -- when armed with more information and more personal experiences with cruising, that we can gain more balance in the press over time. I've been spending time with our shoreside and shipboard employees, gaining an understanding of the challenges our team members face in delivering that great guest experience. And importantly, our valued guests, I've spent time with, which has allowed me a practical feel for the guest experience to complement the quantitative data and market research to gain deeper insight. Having gained these perspectives, I believe we have an opportunity to stimulate demand and drive yield improvements, starting with gaining a better understanding of the consumer by further investing in research to better identify vacation purchase decisions, sharpening the focus on product attributes consumers are willing to pay for, differentiating our brands to better attract our targeted guests and, once onboard, taking the exceptional vacation that we deliver to our guests today to the next level. And in doing so, we can generate the word of mouth that is most significant -- is the most significant driver of attracting first-time cruisers. On the cost side, I believe we have tremendous opportunities to use our scale more effectively through collaboration across our brands, these add synergies, some of which we've already have achieved, but there's plenty more opportunities ahead. I cruise, myself. I have for years, even before I joined the board. I love the product and I have no doubt we will be able to generate better returns than we do today. I feel much better positioned now to be effective in our upcoming plan meetings beginning later this week and expect to be fully up to speed by December and begin to make some meaningful contributions toward any shareholder value. Thank you, all. And with that, we're ready to take questions.
Operator: [Operator Instructions] The first question comes from the line of Felicia Hendrix from Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: Howard, starting with you, just if we could just talk about your -- the outlook for next year. You gave us good color for the first half, appreciate that, and also appreciate kind of your comments on the second half. What I'm wondering, where you said that the yields would turn positive. I'm just wondering if, overall, do you think you could report a 2014 yield increase that's better than flat year-over-year? And I know it's early, but I am asking.
Howard S. Frank: It's early. I feel that -- at some risk, I think we kind of gave first half yield outlook because it was going to be down. We do expect to see a turn in the third and fourth quarters to a positive yield, but I would hesitate to put any kind of numbers on it right now. I think we need to go through the next couple of months, go through the business plans, and we'll have a much better feel for it -- this is based on -- as David said at the start of his comments, it's based on very, very early information from the brands. So we need to refine it and get it better. But we wanted to get the guidance on the first half now at least from a yield standpoint because we were concerned that people didn't understand what was happening in the business.
Felicia R. Hendrix - Barclays Capital, Research Division: In the first half lower yields -- the first half yields which are going to be lower year-over-year, similar to the second half of '13, I mean, is that mainly just driven by still Carnival? Or is there anything else that's driving that?
Howard S. Frank: Well, it's definitely driven largely by Carnival, yes. I mean, I -- we expect positive yields on the EAA side. So the other 2 brands are solid, so we expect most of it to be a Carnival challenge, maybe a little bit. I can't recall exactly, but I think maybe a little bit on some of the other brand, but not much.
David Bernstein: I think one of the things, when you look at the first half of 2014 versus the back half of 2013, while we say as they're similar declines, they are made up a little bit different. Both Carnival and Costa are improving, but what you'll see happening is Costa is not improving as much as it did in the back half of '13, and therefore, you're kind of coming out at a similar amount. Although both Costa and Carnival are improving, Carnival is not down as much and Costa is not up as much as it was in the back half.
Arnold W. Donald: And actually, Carnival compared to the first half of this year, 2013, is a tough comparison because the events happen subtly [ph] so we'll be comparing first half next year of Carnival to first half this year. And that's a tough comparison given the fact, Carnival, we're not yet fully recovered there...
Howard S. Frank: And then we did -- when we said they're improving, they're improving from the prior quarters.
Micky M. Arison: On the prior quarters.
Arnold W. Donald: Yes.
Micky M. Arison: And it's also consistent with what we said last quarter. It didn't seem like anybody was -- took it hard. But it is consistent with what we said last quarter.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. David, just a quick cost question. Thank you for the color you gave us on why it's going to increase next year probably more than we expected. But if we back out all of the initiatives and the dry docks and the things that you talked about, does the underlying cost profile look similar to how you have typically fund the business?
David Bernstein: Well, I think next year is a little bit unique. The things that we were talking about, there were some onetime costs this year that -- relating to the Carnival tribe that don't repeat themselves next year. But we do have quite a few dry docks next year. They're longer in length because of the vessel enhancements. That is costing us something. And we talked about the increased advertising expense, which is an investment that we hope will wind up with better yields in the back half of next year. There are other investments that we're making in the food and entertainment and the product. There are a few other things, insurance premiums, crew air costs, investments in sales forces and other things that we think are worthwhile that we're looking at. But again, these are all very preliminary. And we've got a lot of discussions to do with the operating companies before we can give you a final number. But these are some of the things that they're proposing.
Operator: The next question comes from the line of Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: A couple of clarifications. I'm just thinking about rate of recovery and things for more than just the Costa brand, but I'm curious for Costa in the third quarter. Was the yield increase just in occupancy recovery, or was there also ticket price improvement for the Costa brand in Q3? That's one question. And then the commentary you gave about first half, I -- you said North American yields would be down in the first half, and I just wanted to clarify, was that including or excluding the Carnival brand for first half yields?
Howard S. Frank: I think the cost -- do you want to go first?
Micky M. Arison: The Costa yields.
Beth Roberts: The Costa brand's in the third quarter was mostly occupancy led. We are projecting that the fourth quarter will be a combination of occupancy and pricing.
Howard S. Frank: And the North American yield outlook that I provided was -- includes Carnival.
Robin M. Farley - UBS Investment Bank, Research Division: And if you excluded the Carnival brand in the -- would North American yields in the first half be up excluding Carnival?
Howard S. Frank: I didn't give that information.
Robin M. Farley - UBS Investment Bank, Research Division: And it's not something, I guess, that's, I guess, you would want to give [ph].
David Bernstein: It's a little early.
Arnold W. Donald: [indiscernible]
Howard S. Frank: It's too early, Robin. We try to give a -- based on preliminary information both on a yield and cost side, we're trying to give some directional information out. We'll go through the numbers in the next couple of months with the business guys and get a better sense. And they'll have a better sense of it as well, and then it will [indiscernible].
Robin M. Farley - UBS Investment Bank, Research Division: And I can appreciate that you're trying to give guidance and want to give it as much but not give more than you have visibility for. I guess the reason I was asking for the clarification is I'm trying to think about whether it's mostly the Carnival brand issues that are hurting North American yields. And so, I guess, would you say that the -- if it's still a question mark for sort of the North American brands, excluding Carnival? Is it still primarily related to, like, the Carnival brand's issues that affecting the others? Or I'm just trying to get a sense of if there's some other factor that we're not thinking of that may be impacting those other brands. Or would you say, even if it's not the Carnival brand itself, it's still the impact of those issues affecting the other brands?
Howard S. Frank: Well, what I've said is that both Princess and Holland America are going to have solid performances in 2014. What we don't know -- when we all focus on yields, you may get the wrong piece of information because there's so much mix elements in terms of moving itineraries around, making investments in new markets and so on, that can be affecting it. So I -- we can give you much better guidance on this in the December call, but we don't really have that information right now.
Operator: The next question comes from the line of Steven Kent with Goldman Sachs.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: So just a couple of questions for Arnold. One is, when do you expect to finalize your contract? What kind of metrics might you be looking for in your own contract? And when can we look for some sense of where that's all going? And then secondly, you mentioned that there might be some opportunities for expense reduction. While well aware that, with almost 100 ships, that can take some time, do you think about that as a multiyear process? Or are there immediate expense reductions that you might be able to talk about in December?
Arnold W. Donald: Okay, Steve, concerning the contract, I suspect that will be finalized at the upcoming board meeting in October. And then at that time, we can -- coming out of that, we can talk about metrics for next year. This year, the metrics are well established in the compensation plans. And I own those, along with the rest of the leadership team, for this year. I think they've been publicly discussed before. Concerning -- what was your second question?
Howard S. Frank: Expense reduction.
Arnold W. Donald: Oh, the expense reduction, yes. I think, certainly, there are opportunities immediately that, under Howard's direction and Micky's, people are already working on. And so we have been realizing cost savings for some time and will continue to do so in terms of immediate opportunities. And then as we look at it and look at our total spend and the opportunity to leverage across the brands, I think there will be opportunities, additional opportunities, for cost savings. But that's what we're going to review in these plans coming up and, then subsequent to me hearing all of those and meeting with the rest of the leadership team, to identify some targets. And we'll be in a better position to talk about that in the coming months.
Operator: The next question comes from the line of Harry Curtis with Nomura.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: So I was interested in your effort to sell or lay-up a couple of Costa ships. Is there a broader plan here to at least begin reducing capacity?
Micky M. Arison: Yes, I think that we've said for some time that, part of the plan that the new building capacity that we'd contracted for, part of it was replacement capacity, and that it was our intention to sell off older smaller ships, less-efficient ships. In this particular case, though, it got to the point where, because the second-hand market is so weak, that we now considered laying ships up or selling them at very low price, or even scrap. And so because of that, we took the decision. In fact, one of the Costa ships that we've written down is being laid up this fall. And the other one, a final decision hasn't been taken, but she's clearly on the market for sale. So we're trying to move more aggressively to move out this older tonnage.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Can you give us a sense of what percentage of your fleet could be considered for moving it out?
Micky M. Arison: Well, the -- one of the problems we have is, except for these 2 ships, all the rest contributes. So -- but obviously, we're taking a hard look at everything. But no, I can't -- yes, one of the problems is, of course, because it's smaller capacity, in the overall scheme things, 1 new building is 3x or 4x or 5x the size of 1 ship that we scrap or sell.
Howard S. Frank: Harry, keep in mind, these 2 ships were ships that we never -- we didn't build. These are ships that came through the acquisition of Costa or another brand that we probably wouldn't have built there -- which we would not have built because of their sizes. So they were smaller ships, and during low-yielding periods, like we're in right now for Costa, they don't, they're not generating positive cash flows, so we've decided to either write them down or sell them, scrap them.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: And my second question is -- goes back to Steve's question, but it's perhaps a little bit broader. For Arnold, what -- I'm just wondering, what are some of the broader initiatives that you're considering? There has been some discussion about the centralization of resources, which could be an interesting source of cost savings. And then the second question is, and this is really for Micky, do you -- is it -- what is your perspective on giving Arnold enough of a rein to actually execute some of these changes?
Micky M. Arison: Well, I know, I think that...
Arnold W. Donald: Yes, go ahead.
Micky M. Arison: [indiscernible] going first. Arnold has full authority, for being in the board, to do and to recommend to the board whatever he feels is the right way to go. And while I'm happy to assist him and give him whatever advice he needs, my focus is only to do whatever I can to make him mutually successful. So if he feels strongly that he wants to go in any particular direction, I will support him 100%. So to him, it's a clean slate, and I'm sure he's looking at it that way. And I'm as interested as you are to see where we go from here.
Arnold W. Donald: Yes, first of all, Micky has given me total freedom of flexibility and he's been extremely supportive. I'd be foolish not to take advantage of all of his experience and time in the business, and certainly we'll continue to do that, but I feel no constraint whatsoever at an operating level. He's an outstanding delegator and he definitely stands behind his people, and so I'm very, very comfortable in doing what we need to do. But it is still premature. And so we have upcoming plan meetings and has the rest of the process here for me. And then I'll meet with the leadership team and we'll align around the best way forward. I don't imagine any big, dramatic changes, but obviously, there'll be some changes and we'll discover those together as we finish up through the plan process and then meet with the leadership team right after that. In terms of the overall opportunity, though, it's not so much centralization or decentralization and all of that. The reality is obviously we have scale. Today, if you rolled up -- the other publicly traded cruise companies and perhaps if you roll them all up, their net income would not equal what ours is even in this period. And so we have a tremendous advantage of scale with 10 very powerful brands. And leveraging that in all ways, both from a revenue-generating way as well as cost management way, bodes well for our future. And we have opportunity to do that and we will find the most effective ways to do that.
Operator: The next question comes from the line of Tim Conder with Wells Fargo.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Just a couple of clarifications. You said that you've seen trends improve in both the Costa and the Carnival brands. So just again to clarify, you're -- the Carnival brand pricing has stabilized, you're saying, but obviously at lower year-over-year levels. That would be question one. And then I think you made a statement that you've made a decision with the Carnival brand to hold price with the willingness to sacrifice some occupancy. Can you kind of comment the decision to do that? Because I think, post the Costa Concordia accident, you may -- you wanted to do that and then you said, "Wait, that's not the right -- what we need to be doing." And you've reversed course and dropped price to gain occupancy. So just maybe compare and contrast those 2 decisions with those brands.
Howard S. Frank: Okay, Tim, I'll -- what I -- on the Carnival comments, with our Carnival brand and Costa, indeed a very -- their improvements are very, very different because Costa is well on its way, 18 months later from their incident, to start to show year-over-year improvements in yield, which we experienced in 2013. We'll continue to experience for the yield improvements in 2014. Carnival is much more in the formative stages of recovery. So early stages of recovery. So what we're seeing in the Carnival brand is continuing increases in volumes. They fell considerably behind on occupancy, so in order to stimulate -- as you know, in order to stimulate demand, we put lower prices out there to get the booking volumes up. And we've seen a good response to that, especially in the last 12 weeks and the last 6 weeks and so on. But there's still considerable catch-up to do. So when you're thinking of catch-up, you're not quite sure, "Are things are -- is pricing stable?" It's hard exactly to say because pricing is so dynamic day to day. But I wouldn't -- I don't know that I have an answer to that, but clearly, we're seeing significant improvement in demand recently. And I think, with the new marketing going out right now, plus the outreach program for the travel agents, we've seen some nice upticks on our various distribution channels, so -- and the number of hits we're getting on our websites and so on. So it's a very -- we're seeing very positive trending right now. That will -- it will take time for that to translate into improved pricing, and hopefully we'll start to see that in the second half of the year of 2014. I'll let Carnival (sic) [Arnold] comment on the pricing occupancy on Carnival.
Arnold W. Donald: Yes, in terms of the holding price, that's -- we're open-minded about different pricing approaches and the world constantly changes and evolves. And so we are doing some testing in Carnival now to see if holding the price on certain itineraries can break a cycle of some of our repeat guests from waiting till the last minute to book thinking they're going to get a better price. When these issues happen, like at Triumph, or whatever, the real pressure is on the new to cruise. Most of those people who have cruise extensively, they continue to cruise, they're not taken aback by these events. And certainly, there are a lot of brand loyalists because there's actually not as much overlap between the brands with repeat guests as some people might think. So the real issue is the new to cruise, and then there's pressure there. And so we're now going to experiment a bit and see if there's ways we can accelerate the full pricing recovery. And that's one of the things the Carnival brand opted for in the fourth quarter, it was on certain itineraries, to test that.
Micky M. Arison: Can I just add? Because I believe the question was inaccurate. The decision at Costa was to hold price and not buy and filling [ph] the ships for a couple of quarters. And we did that for a few quarters. And then as the perception of the brand started to improve, this strategy started to change. So it's not that we changed at all. But certainly, we did go a couple of quarters, with significant below full occupancy at Costa. And the fact is, right now, Carnival's talking about going a quarter or 2 or whatever and leaving some cabins if necessary. The good thing, by the way, as part of their Carnival Conversations program, they've been able to use these cabins for travel agents, which is fantastic because the agents get to see the upgraded Fun Ship 2.0 product and hopefully encourages them to sell more in the future. So that could be a win-win as well.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: And one last question related to the Caribbean. Granted there are different dynamics between what the Carnival brand and what your competitors are doing, but collectively, Caribbean capacity from the whole industry is increasing. How do you see -- I guess, a better way to ask the question is, how do you see the Caribbean pricing with what your competitors are doing relative to the non-Carnival brands in your fleet?
Micky M. Arison: They did increase in Caribbean as in the second half, is there?
Beth Roberts: [indiscernible] in the quarter, which we don't have much visibility [indiscernible] at this time.
Micky M. Arison: It's just too early.
Howard S. Frank: It's too early to say, Tim.
Operator: Our next question comes from the line of Assia Georgieva from Infinity Research.
Assia Georgieva: Congratulations on the [indiscernible] project. That was quite fantastic to watch, and I'm happy that it turned out well. One quick question on Caribbean pricing and one follow on Tim's line of questioning. It seems that, during Q3, the Carnival brand had recovered somewhat. Do you expect to see any last-minute improvement in pricing? Or do you expect to actually lower pricing?
Howard S. Frank: I guess, when you say the Carnival brand recovered, you mean in terms of volumes, higher demand. Is that...
Arnold W. Donald: Pricing.
Assia Georgieva: In terms of pricing, because I can't crack your database so I can't know volume.
Howard S. Frank: No, I don't know the exact answer, but I would say, generally, there's quite a bit of catch-up to do on getting back to historically higher occupancies for Carnival before they can start to move the pricing. So I think that's going to take a while. Exactly the difference between Q3 and Q4 and Q1 of 2014, it's hard to say right now, other than on an absolute basis. But clearly, if we continue -- if they continue to run these large volumes, and we're very encouraged by with everything else that's going on in the marketplace for them right now, it's a very positive sign. But likely, we don't expect to see positive yield year-over-year improvement until the third and fourth quarter of...
Micky M. Arison: We you do have a natural third quarter phenomenon that, families, a pre-school family that haven't made vacation plans have postponed it because of the economy or whatever, come into the market very often late. And so there tends to be, in the third quarter, this natural push for vacations and particularly family vacations. And so Carnival being a very, very big family brand, we'll see a natural push. But that disappears once school's back in, and -- in the fall and the demographics changes in the fall. So you could see it, something in the third quarter that may not translate to the fourth.
Assia Georgieva: And Micky, that is very helpful. And basically, I was asking the question whether that can translate into Q4 or Q1 given how important the Caribbean is in those 2 quarters.
Micky M. Arison: Well, in Q1, we have a different phenomenon. In Q1, it starts getting cold, November, December, and you start getting the snow hurdles. And so you do have certain demand criteria in Q1 that might help you last minute. That doesn't tend to be there in Q4. Q4 is always the most -- historically for 40 years, it's been the toughest quarter of the year. And it is in good times and bad times. Even in good times, Q4 tends to be tough. But Q1, the challenge, of course, is all the capacity that comes from Alaska and from Europe to the Med to -- sorry, to the Caribbean. There's a massive increase in capacity every year, but there isn't that massive increase in demand from the cold weather. And hopefully, we'll get a nice cold snap early this year and helps our Caribbean first quarter.
Operator: The next question comes from the line of Jaime Katz with Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: Can you guys remind us what percentage of capacity is booked at this point for the first and second quarter, just so we could think about what sort of improvement you might get from your advertising exposure in the rest of the year? And then can you also talk about what sort of advertising channels you might be thinking of using if you're targeting more travel agents or consumers, and how that's split up?
David Bernstein: As far as the percentage that are booked, the numbers, the ranges that we generally talk about are, for the next quarter which would be the fourth quarter, will be 85% to 95% booked; the second quarter out, which is the first quarter, 50% to 70%; and then the second quarter, which is 3 quarters out, 30% to 50% booked. And we have indicated recently that we're at the lower end of those ranges as far as booking patterns are concerned.
Howard S. Frank: On the advertising channels, I mean, we use all -- right now, we're using all our advertising to -- we're on national TV with the Carnival -- with the new Carnival campaign, but we're also going to do more consumer print. We do -- we're now back into trade magazines. We're doing radio as well. We're doing local TV, we're doing local radio. I mean, it -- we're all over the...
David Bernstein: Princess recently started a new program where they're advertising on the mall directories as well. They think that's a good spot for them. So as Howard said, we're all over.
Jaime M. Katz - Morningstar Inc., Research Division: Okay, so it's pretty much as it has been in the past. I thought maybe there was just a change in -- getting in front of people, maybe.
Micky M. Arison: No, there has been significant changes. We haven't been on national TV in a long time. I don't know how many years, but many, many years we haven't been on national TV, and never been in this kind of levels in the fall. We have been out of trade advertising for a while, and we're back in trades. So -- and I don't recall that we did that much radio. So our focus the last few years has really been Internet search, direct mail, email, that kind of advertising. Now we're back in virtually all media.
David Bernstein: And I think [indiscernible] we had also upped the amount of investment in advertising as well from the fourth quarter. So the total spend and the total level of activity has increased.
Operator: [Operator Instructions] The next question comes from the line of Jamie Rollo with Morgan Stanley.
Jamie Rollo - Morgan Stanley, Research Division: I was just wondering how temporary some of these cost increases are for next year. You talked about a step up in marketing and advertising, more agents for dry docks. Could any of those actually reverse in 2015 so we can sort of think about next year as like a sort of transition year in terms of costs?
David Bernstein: It's very early to say. I mean, there are some possibilities. The dry docks are significantly longer because of the vessel enhancement. But as I mentioned, and the advertising is a function of the effectiveness of the ads and the yield increases that we get from it. There are some things, like insurance premiums which, hopefully over time, maybe we can work our way back down, but the investments in the products and a few of the other things are very possible that they're more permanent. So it's a mixed bag, but it's very early to say at this point which -- how much of the total increase would be permanent.
Jamie Rollo - Morgan Stanley, Research Division: Okay. And then the other question, just in terms of the shape of the yields in the first half, just to give us a feeling for the trajectory. I think, Arnold, you said, given the tougher comps for Carnival, it sounds like Q1 is going to be worse than Q2. Is that sort of fair? And can you give us a sort of rough flavor of the difference, please?
David Bernstein: I think he said the...
Howard S. Frank: Are you talking about yields, Jamie?
David Bernstein: Yields...
Jamie Rollo - Morgan Stanley, Research Division: Yes.
Arnold W. Donald: Yes, yes. He's talking perhaps [ph] directionally. [indiscernible] is correct, yes.
Jamie Rollo - Morgan Stanley, Research Division: And for Q2, it would still be negative, as well as Q1?
David Bernstein: That is correct.
Arnold W. Donald: Most --- more than likely, yes.
David Bernstein: The -- keep in mind that we -- the Triumph occurred last February. And then we had the Carnival Dream in March. And so it's really, most of the second quarter was booked. And as a result, it's more difficult comparisons in the first act -- or the second quarter than the back half of next year. So [indiscernible].
Operator: Mr. Frank, it appears that there are no further questions at this time.
Howard S. Frank: Okay, thank you, all, very much for listening in. Beth will be available for follow-on calls after we hang up. We wish everybody a good day. Thank you.
Operator: Thank you, ladies and gentlemen. That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you, and have a good day.